Operator: Thank you for standing by. My name is Dina, and I will be your conference operator today. At this time, I would like to welcome everyone to the Integer Holdings Corporation Second Quarter 2025 Earnings Call. [Operator Instructions] I would now like to turn the conference over to Sanjiv Arora, Senior Vice President, Strategy, Business Development, Investor Relations. You may begin.
Sanjiv Arora: Good morning, everyone. Thank you for joining us, and welcome to Integer's Second Quarter 2025 Earnings Conference Call. With me today are Joe Dziedzic, President and Chief Executive Officer; Payman Khales, President and CEO-elect and Chief Operating Officer; Diron Smith, Executive Vice President and Chief Financial Officer; and Kristen Stewart, Director of Investor Relations. As a reminder, the results and data we discuss today reflect the consolidated results of Integer for the periods indicated. During the call, we will discuss some non-GAAP financial measures. For reconciliation of non-GAAP financial measures, please refer to the appendix of today's presentation, today's earnings press release and the trending schedules, which are available on our website at integer.net. Please note that today's presentation includes forward-looking statements. Please refer to the company's SEC filings for a discussion of the risk factors that could cause our actual results to differ materially. On today's call, Joe will provide his opening comments. Diron will then review our adjusted financial results for the second quarter of 2025 and provide an update on our full year 2025 outlook. Joe will come back to provide his closing remarks, and then we will open up the call for your questions. With that, I'll turn the call over to Joe.
Joseph W. Dziedzic: Thank you, Sanjiv, and thank you to everyone for joining the call today. In the second quarter, we delivered another quarter of strong year-over-year results. Sales increased 11% on both a reported and organic basis. Our adjusted operating income grew 15% as we continue to expand margins. And our adjusted earnings per share grew 19% year-over-year to $1.55. For the first half of 2025, we delivered a strong above-market performance, with sales increasing 9% and adjusted operating profit increasing 14%, or 1.5x the rate of sales growth. With the first half now behind us, we are raising the midpoint of our adjusted operating income and EPS outlook. We are maintaining our sales outlook midpoint given our high visibility to customer demand while tightening the sales range. At the midpoint of our full year outlook, we expect to grow sales 8.5%, adjusted operating income 14%, and adjusted EPS 20%. It is an exciting time at Integer because we have a strong pipeline of new products concentrated in faster-growing end markets. Our margins are expanding as a result of our manufacturing and business excellence initiatives, and we continue to acquire and integrate tuck-in acquisitions that add or compound differentiated capabilities. I am grateful for our associates around the world that are delivering for our customers and making a difference for patients. I'll now turn the call over to Diron.
Diron Smith: Thank you, Joe. Good morning, everyone, and thank you again for joining today's call. I'll provide more details on our second quarter 2025 financial results and provide an update on our 2025 outlook. In the second quarter of 2025, we delivered strong financial results. Sales totaled $476 million, reflecting 11% year-over-year growth on both a reported and organic basis. Organic sales growth removes the impact of our Precision and VSi acquisitions, the strategic exit of the portable medical market, and foreign currency fluctuations. We delivered $99 million of adjusted EBITDA, up $9 million compared to the prior year or an increase of 10%. Adjusted operating income grew 15% versus last year as we continue to make progress on our year-over-year margin expansion. Adjusted operating income as a percentage of sales expanded 50 basis points year-over-year to 17.1%, comprised of approximately 10 basis points from gross margin and 40 basis points from operating expense leverage. Adjusted net income for the second quarter 2025 was $55 million, up 23% year-over-year, while adjusted earnings per share totaled $1.55, up 19% from the same period last year. Turning to our sales performance by product line. Cardio & Vascular sales increased 24% in the second quarter 2025, driven by new product ramps in electrophysiology and incremental sales related to the Precision and VSi acquisitions as well as strong customer demand in neurovascular. On a trailing 4-quarter basis, C&V sales increased 17% year-over-year with strong growth across all targeted C&V markets driven by new product ramps and acquisitions. For the full year 2025, we continue to expect C&V sales to grow in the mid-teens compared to the full year 2024. Cardiac Rhythm Management & Neuromodulation sales increased 2% in the second quarter of 2025, driven by strong growth from emerging PMA customers and neuromodulation and normalized CRM growth, partially offset by the planned decline of a neuromodulation program. Back in 2020, we announced the planned decline of this program, and we expect 2025 as the last year of decline. On a trailing 4-quarter basis, CRM&N sales increased 5% year-over-year, primarily driven by strong growth from emerging PMA customers and neuromodulation. For the full year 2025, we now expect CRM&N to grow in the mid-single digits as compared to the prior year. Our expectation of mid-single digits growth is higher than our prior range of low to mid-single digits based on the strong order visibility we have to the balance of the year. Product line detail for other markets is included in the appendix of the presentation, which can be found on our website at integer.net. In the second quarter 2025, we delivered $55 million of adjusted net income, up $10 million versus a year ago. This increase was driven mainly by operational improvements, which include higher sales volume, manufacturing efficiencies, operating expense management and acquisition performance. We also benefited from lower interest expense as a result of our convertible debt offering in March 2025 as well as a lower adjusted effective tax rate. Our adjusted effective tax rate was 19% for the second quarter of 2025, down from 20.7% in the prior year, and we now expect our full year 2025 rate to be within the range of 18.5% to 19.5%, lower than our prior outlook of 19% to 21%. In the second quarter, we experienced an FX headwind of $3 million or $0.09 of adjusted EPS. This is primarily due to the weakening U.S. dollar and its impact on U.S. dollar-denominated receivables in our foreign entities. In our outlook, we have assumed no further weakening or strengthening of the dollar in relation to other foreign currencies, and we continue to enhance our hedging program to mitigate the P&L impact of foreign currency fluctuations. Additionally, the year-over-year increase in adjusted weighted average shares outstanding drove approximately $0.04 reduction to our adjusted EPS. In aggregate, second quarter 2025 adjusted net income is up 23% year-over-year, and adjusted earnings per share is up 19%, both growing much faster than our 11% sales growth, a very strong performance in the second quarter. In the second quarter of 2025, we generated $44 million of cash flow from operations. Our CapEx spend in the second quarter was $19 million, which is in line with our full year outlook. As a result, free cash flow was $25 million in the second quarter, an increase of $9 million from the prior year or a 55% improvement. At the end of the second quarter, net total debt was $1.204 billion, which is a $25 million decrease compared to the first quarter 2025 ending balance. Our net total debt leverage at the end of the second quarter was 3.2x trailing 4 quarter adjusted EBITDA, within our strategic target range of 2.5x to 3.5x. As Joe mentioned earlier, we are raising the midpoint of our adjusted operating income and EPS outlook while maintaining the midpoint of our sales outlook and tightening the sales range on both the high and low end. We expect sales to be in the range of $1.850 billion to $1.876 billion, an increase of approximately 8% to 9% versus last year. Given our strong first half sales and visibility to customer demand in the second half, we believe $1.863 billion is the appropriate midpoint of our outlook. On an organic basis, we continue to expect sales growth to be within the range of 6% to 8%, which is approximately 200 basis points above our underlying market growth rate estimate of 4% to 6%. For adjusted EBITDA, we now expect a range of between $402 million to $418 million, reflecting growth of 11% to 16%. We now expect adjusted operating income between $319 million and $331 million, representing growth of 12% to 16%. This is an increase of $4 million on the low end and $2 million at the midpoint from our prior outlook. For adjusted net income, our outlook range is between $222 million and $231 million, an increase of 21% to 26% versus 2024. This is also an increase of $2 million at the midpoint, reflecting the higher operational performance, lower adjusted effective tax rate and the first half foreign currency headwinds below operating income. Lastly, we expect adjusted EPS of between $6.25 and $6.51, which is a growth of 18% to 23% on a year-over-year basis. This is a $0.05 increase at the midpoint. Our outlook assumes an adjusted weighted average diluted shares outstanding of 35.5 million shares for the full year 2025. In regards to the tariff landscape, we continue to expect a negligible impact in 2025, well within our range of $1 million to $5 million. Our expected reported sales growth of 8% to 9% for 2025 includes inorganic growth of approximately $59 million from the Precision and VSi acquisitions, offset by an approximate $29 million decline from the previously announced Portable Medical exit, which is expected to be completed by the end of 2025. We expect second half 2025 reported sales growth to be approximately 8% at the midpoint, with similar sales growth rates in the third and fourth quarter. We expect adjusted operating income as a percentage of sales to increase throughout the remainder of 2025, driven by continued improvement in manufacturing efficiency and sales growth outpacing our growth in operating expenses. At the midpoint of the outlook, adjusted operating income as a percentage of sales is now expected to expand 86 basis points in 2025 compared to the full year 2024. This is a 10 basis point improvement since our prior outlook. We continue to expect cash flow from operations to be between $235 million to $255 million, which represents a 20% year-over- year increase at the midpoint of the outlook. Our outlook for capital expenditures is unchanged at $110 million to $120 million as we continue to invest in capabilities and capacity. As a result, we expect to generate free cash flow between $120 million and $140 million, which represents a 30% year-over-year increase at the midpoint. We expect our 2025 year-end net total debt to be between $1.115 billion and $1.135 billion, and we expect to end the year with a leverage ratio within our target range of 2.5x to 3.5x trailing 4 quarter adjusted EBITDA. With that, I'll turn the call back to Joe. Thank you.
Joseph W. Dziedzic: Thanks, Diron. We delivered strong growth in the first and second quarter, with sales up 9% and EPS up 17% in the first half of 2025. We are successfully executing our growth strategy to meet our financial objectives of growing organically above the market, while expanding margins and maintaining our targeted debt leverage. We are confident this sustained level of performance will produce a premium valuation for our shareholders. We will now turn the call over to our moderator for the Q&A portion of the call.
Operator: [Operator Instructions] Our first question comes from the line of Brett Fishbin with KeyBanc Capital Markets.
Brett Adam Fishbin: Just wanted to start off on the full year organic growth guidance update. Just based on the 2Q upside here, would have maybe expected a revision, a positive revision to the full year, just given where you are year-to-date. So I was just hoping you could maybe walk through the bridge of the organic performance in 1H versus what you're expecting in 2H?
Payman Khales: Yes. Good morning, Brett. This is Payman Khales. I hope you're doing well. I hope the audio is okay. We had some technical difficulties. Can you hear me well?
Brett Adam Fishbin: Yes, you're coming through clear. No technical difficulties through the call on my end.
Payman Khales: All right. Great. Excellent. So let me address that. Your question was related to the second H organic performance. So let me just talk high level about the performance that we talked about. So for the year, we're still pointing to the midpoint of a range of our guidance. We -- the second half of the year, we grew at 9%. The second half of the year, we're projecting at 8%. So that kind of puts us at about 8.5% or $1,863 million at midpoint. Some of the color that I would add for the year is that we had a strong 2Q. That's from a revenue perspective. There are some -- a few things that drove that. We had some strong new product launches, some timeliness of that. Typically, Brett, within the quarters, we have some movements in terms of customer demand. Our customers sometimes shift their demand within the quarter. That's usually a small amount. We had something similar in the second quarter in the sense that some of the demand from 3Q came into 2Q. And then lastly, we had talked about the expansion of our New Ross facility and executing the demand on that. That demand came on full online in the middle of last year, and we've been executing our customer demand, and we executed a little bit more demand in 2Q than we had anticipated. So all in all, that drove some strength into 2Q. If you really think about it, we had projected 2Q growth of -- in the high single digits. We ended up at around 11%. That's about 200 bps. You do the math, that's about $10 million. So every single one of these things that I talked about added a few million to kind of make up that 200 bps. So overall, I would look at the second half of the year of 8%, it kind of keeps our guidance the same at 8.5% at midpoint and $1,863 million. Just maybe one more thing that I would talk about in the second half of the year. We're going to be bumping against a tough comp in 4Q. In 4Q of last year, we had a very strong growth of 11%. So we're bumping up against some tough comps as well. So all in all, we think that the year at $1,863 million at midpoint is strong.
Brett Adam Fishbin: All right. And then just one follow-up question. In CRM and in neuro, another quarter, 2% growth, but it sounded like the full year outlook is actually improving a little bit from low to mid-single digits to mid-single digits. I was curious if you could maybe give a little more color there if it's coming from some of the new product ramps in neuromodulation or if you're seeing a little bit of a better like end market dynamic in CRM or anything else there?
Joseph W. Dziedzic: Brett, it's Joe. So CRM&N, as you highlighted, the first half sales were 2%. And our guidance for the year is mid-single digit, which means second half needs to be in the high single digits. And there's two primary drivers. As you highlighted, neuromodulation gets better in the second half of the year based on some customer demand, plus we highlighted that there was a planned IPG customer decline that occurred in the first half that relents and is much less of an impact in the second half. That actually gets us about halfway from that 2% first half to the 8%-ish or 9 -- 8% or 9% high single digits second half to get you to the midpoint of the guidance there, the mid-single digits. And then the other thing is the Cardiac Rhythm Management actually picks up a little bit in the second half. And I wouldn't highlight anything in particular. It's just the timing of demand within our customers and how they're running their operations. And I'll highlight just maybe broadly that we think the best way to look at the trajectory of the business and our sales trend is to look at a rolling 4-quarter basis. As Payman highlighted, in any given quarter, there's variation driven by how customers are managing their plans. Just to remind everybody, the majority of what we do is sole sourced. The majority of what we do, we ship to one of our customers' manufacturing plants, it gets incorporated into one of their devices. And then 4 to 9 months later, it shows up in a procedure. And so a rolling 4-quarter view, whether it's trailing or looking forward at the full year, it removes some of that noise and that variability in any given quarter. And that's maybe what you were getting at about first half versus second half. Full year, we're right in line with what we guided to at the beginning of the year, 8.5% sales growth, $1.863 billion. The organic growth is the same for the full year. That's slightly higher second quarter sales than what we were expecting and then what I think investors were expecting does not change our view of the full year.
Operator: Your next question comes from the line of Joanne Wuensch with Citi.
Joanne Karen Wuensch: If I mathematically do this correctly, it sounds like the second half of the year should be still strong in cardiovascular and you raised the second half of the year for CRM, but maybe you narrowed the full year revenue guide. Does that mean your other markets is declining maybe a little bit faster than expected? I'm just trying to essentially get to the same question of how do you do deliver such a really strong second quarter and then sort of talk down the top end of your range.
Payman Khales: Joanne, this is Payman. Thanks for the question. So let me answer the mathematical question, if you will, and then I'll try to add some color. So at midpoint, our CRM&N guidance is 5%. C&V is mid-teens, which we're looking at 15%, and other markets is down $32.5 million. So that's because of the visibility that we have to the customer demand with the backlog that we have, which is still in the range of about $700 million. That gives us good visibility. So this is what's what guides us and why it makes us believe that the midpoint of $1,863 million is the appropriate place to be.
Joanne Karen Wuensch: And as my second question, is there any inventory management that is happening from your customers in the back half of the year and as you go into 2026 as you think about managing tariffs?
Payman Khales: Yes. So inventory, going back a couple of years, Joanne, the second half of 2023 is when OEMs started sending some letters to their suppliers, effectively saying that, look, they're going to be adjusting their inventory after some period of supply challenges. And over the last couple of years, I would say that the inventory management is kind of more normalized. And now I think it's important to understand one dynamic. So even when customers have been managing inventory, it's not that they're overstocking everything. So obviously, they're overstocking some things and some other things that are needed for their production might be understocked. So that's kind of what drives a little bit of variability. And I mentioned earlier, we had a little bit of a demand kind of coming from 3Q to 2Q. These are some of the things that kind of drive that. But really stepping back and kind of looking at things, the backlog that we have, the visibility that we have and the guidance that we provided takes all of that into account, Joanne. So we think that $1,863 million, 8.5% at the midpoint is appropriate. I think the second part of your question was related to tariffs. For tariffs, it's a dynamic landscape. Obviously, the tariff situation changes, including recently. We have maintained and continue to maintain that the impact on our business would be minimal. We are still iterating that range of $1 million to $5 million. We've mentioned that we are working to make that as close to 0 or 1 as possible, and that continues to be our plan. But our range of $1 million to $5 million of potential tariff impact has not changed.
Operator: Your next question comes from the line of Nathan Treybeck with Wells Fargo.
Nathan Treybeck: Just wanted to go back to C&V. It sounds like there was some pull forward of demand in Q2. Can you just talk about if this was rapid building of inventories either for electrophysiology and neurovascular and then there's going to be a steady drawdown of that inventory in the second half? I'm just trying to understand kind of the parts for the deceleration in the second half. And also, can you confirm the mid-teens guidance for C&V is not organic?
Payman Khales: Yes. Thank you, Nathan. Thanks for the question. Let me add some color. Let me start with C&V had a very strong performance in 2Q at 24% reported, 18% organic and 17% on trailing full quarter, which is really the way we think we should be looking at our performance within the business. So there are a number of things. We talked about that the performance of the C&V was driven by a few factors. We had some new product launches. We have strength in some neurovascular customer demand. Specific to your question about the variability between the quarters, these are a combination of a few small things that kind of drove a little bit of a growth. So again, that there is a demand -- some demand profile changes between quarters and months. That's natural. That's normal part of our business. In this case, it kind of came into 2Q from 3Q. Nothing unusual there. There is a little bit of a lumpiness usually associated with new product launches. If you think about a new product launch, there's a launch phase, a ramp phase, there's a stabilization phase. So there's some lumpiness associated with that. So if you look at all of that, that's why we had a little bit stronger in 2Q. Our view of the year has not changed. We have said that mid- teens is our view for C&V for the year, and we continue to maintain that. I think part of your question was whether this is organic. This is total reported at 15%.
Nathan Treybeck: Okay. That's very helpful. Payman, just at a high level kind of as you're stepping into the CEO role, are there any strategic priorities you're beginning to kind of formulate? And are there areas of improvement that you have your eyes set on?
Payman Khales: Yes, that's a great question. Thank you. So look, as I've mentioned before, I've been with Integer, this is my eighth year. I've been part of the leadership team that has been developing and executing on our strategy, the same way that we have done in the past 8, 9 years, very much intend to continue refining and building on our strategy and ultimately executing on that strategy so that we can outperform the market in growth and expand margin faster than that. So the elements of the strategy that we've talked about, building capabilities, the growth markets that we have, the margin expansion activities that we have within -- through our manufacturing excellence, I very much intend to continue doing that. Those are important pillars of the type of business that we have and are critical for our success. And obviously, we've talked about the fact that the tuck- in acquisitions to continue building capabilities and making sure that we stay within a reasonable range of leverage, 2.5x to 3.5x continues to be a very important element of our strategy.
Operator: Your next question comes from the line of Craig Bijou with Bank of America.
Craig William Bijou: I wanted to start with a follow-up on -- just on the Q2 performance. And apologies for asking again, but just trying to understand if you guys would be willing to quantify just how much of that, like 11% versus the high single digits was from a pull forward of the orders or just maybe better-than-expected performance? So just trying to understand, I appreciate the comments that for the full year, you guys still expect the same. But just wanted to understand what was the surprise or what piece of that surprise did -- where the outperformance was part of the pull forward?
Payman Khales: Yes. Thank you for the question, Craig. Let me answer that. So let me first maybe ground us on the numbers. I think as you pointed out, the growth that we had in the quarter of 11% was a little bit higher than the high single digits that we had talked about. So that's about 200 bps. And if you take that, do the math on the 200 bps on the quarter, that's about, give or take, $10 million of revenue. It's not a substantial revenue. So normally, there are puts and takes within every quarter. There's some demand that goes into the next quarter, some comes in. But in this quarter, that little variability and every single one of those things that I talked about is just a few million bucks. But in combination, it kind of drove that $10 million. So there was a little bit of the demand change and shift from a few of our customers on a few programs, every single one of them small. In combination, it was a few million. There was some acceleration of new product launches. And as I mentioned earlier, we were able to execute a little bit faster in customer demand from our New Ross facility for guidewire. So again, every single one of those events that I talked about is a few million bucks. But in combination, it drove about 200 bps of revenue growth.
Craig William Bijou: Got it. Thank you, Payman. That's helpful. So then you guys had a pretty strong quarter, a very strong quarter in C&V. You called out the electrophysiology product ramp. So can you just help us understand how that rolling 4 quarter growth in EP has trended over the last several quarters? So has that accelerated? And I assume it's outpacing overall C&V. But just wanted to get your perspective on how sustainable the EP growth specifically is over the next several quarters.
Payman Khales: Yes. Thanks for the question. So EP is one of the 4 growth markets that we have, the other 3 being structural heart, neurovascular and neuromodulation. And we're excited about every one of them. We have worked in the past many years to continue investing and building capabilities and pipeline so that we can continue to outperform the market, which we believe we've been doing. So back to your question specific about EP. Let me just highlight that we have been present in EP for many, many years. We have built a lot of capabilities over the years. And our participation in EP, I mean there's a lot of, obviously, a lot of excitement in the market right now with EP, with PFA that's kind of driving a lot of growth, which is also great for patients. We're very excited about the technology. That's been driving -- it's been giving us some tailwinds. I would highlight that our participation in EP is really across the procedure. It's not just only in the ablation technology itself. We participate in access, in guidewires and transseptal sheaths in diagnostics and of course, the ablation itself. So we have good content across the procedure, and that includes PFA pulsed field ablation. So we have good momentum in that space, and we've got a strong pipeline. You mentioned whether we are outperforming the market. Yes, we believe we are. If you look at our trailing 4 quarter within C&V, that is one of the drivers of the growth that we have, and we believe that we are outperforming the market, and we continue to be very excited about the momentum that we have.
Operator: Your next question comes from the line of Richard Newitter with Truist Securities.
Richard Samuel Newitter: Maybe just thinking both on the -- starting with the top line but also down the P&L, if you have comments there, the 3Q versus 4Q kind of cadence and how you're thinking about it. I guess it sounds like the pull forward or some of the overage, the roughly 200 basis points came mostly from 3Q, or at least I'm guessing that's where you have the most visibility. And I'm not sure how much visibility you have out beyond 3 to 5 months. So given the comps, you have a much tougher comp in 4Q. And it sounds like you had some pull forward specifically from the 3Q. Are there specific kind of nuances we should be thinking about? Can you talk to the consensus that you need to? But it sounds like we should be thinking about maybe a lower-than-normal 3Q performance or growth rate, and then comp adjusted, the 4Q is similar to where you thought you'd land?
Payman Khales: Yes. Richard, thanks for the question. So let me add a little bit of color on the first half, second half and then come back to your 3Q specific question. So let me maybe start with your bigger picture question about guidance. Our guidance at the midpoint has not changed. We kind of narrowed the range a little bit given where we are in the year. But our midpoint, we believe, is appropriate at $1,863 million, which is 8.5%. So if you break it down in the first half, second half, the first half growth was 9%. We're projecting the second half to be 8%. And we also said that, that's going to be equal -- roughly equal growth in each of 3Q, 4Q. So you can -- so that kind of puts us at about 8%- ish for 3Q. We -- look, we -- other than the little variation that I talked about, that's just kind of a normal part of our business. We have generally good visibility to demand. We continue to maintain a backlog that's been relatively steady. It's still in the $700 million range, and that gives us really, really good visibility for the rest of the year, which is why, again, I keep coming back to the 8.5%, $1,863 million, which we believe is the appropriate place.
Diron Smith: And if I could add just on the cadence to the bottom line that you were asking about. This is Diron, by the way. On our AOI specifically, we've delivered up about 14% in the first half. At midpoint for the full year, that would suggest 14% as well. So we see the second half growth on AOI being very similar to the first half growth. And when you look at that on a quarter-by-quarter basis, we shared in the earnings presentation that we expect our AOI as a percent of sales to grow each quarter, so to get a little bit better in third quarter and get a little bit better in the fourth quarter to deliver on the full year, which, again, at midpoint, if you were to pick up and use that as a reference, that would be at 17.4% of sales. So we see the kind of the AOI cadence as being a gradual improvement quarter-to-quarter both on a margin basis as well as on a nominal dollars of AOI basis.
Richard Samuel Newitter: Okay. That's helpful. Just to make it even simpler, we all have 3Q and 4Q estimates, there's a consensus out there. All else equal, if we were to take $10 million out of the back half and put it into 2Q, would you have us take $5 million and $5 million from each of the 3Q and the 4Q? Or do you take most of it from the 3Q and leave 4Q? How would you have us do that?
Diron Smith: Yes. I think when you look at the sales guidance, and again, if you kind of referenced what we had on the presentation specifically, we've shared that we expect the year-over-year growth in 3Q and 4Q to be very similar. And at the midpoint, again, that would suggest a second half growth of around 8%. So the third quarter and fourth quarter sales cadence would be very similar at the 8% for both 3Q and 4Q year-over-year at the midpoint.
Richard Samuel Newitter: Okay. So roughly $5 million and $5 million in each quarter.
Operator: Your next question comes from the line of Matthew O'Brien with Piper Sandler.
Matthew Oliver O'Brien: I don't really want to beat this dead horse too much on the top end of the guide, but I'm going to, because the stock is down a little bit this morning, and I think it's primarily related to that. You did take the top end of the guide down by 100 basis points on a reported basis. I'm not sure if I heard from Diron if it's currency-related that, that's coming down. But given that, that's coming down with things kind of decelerating a little bit on the stack 2-year basis during the back half of the year, it just makes -- I think everybody wonder if there's something going on from a -- just from a product perspective, especially in C&V, which has been well above the corporate average for a while. Is that something specifically that you're calling out here or we should interpret? Or no, there's not much to really be that concerned about? But again, the top end of the guidance did come down by about 100 basis points on a reported basis.
Payman Khales: Yes. Let me maybe answer a couple of the questions that you asked. So this is not currency related. And the guidance and the ranges that we talked about are reported -- on a reported basis. So now let me also just talk about your comments in general. So we narrowed the range, just given where we are. We -- our midpoint continues to be the same. So a few things to think about, as you mentioned, the deceleration, I think you talked about in the second half. So that's kind of going from 9% in the first half to 8% in the second half. Let me point out, just 4Q. Last year, our growth in 4Q -- if you take the sales of our fourth quarter last year, it was 7% higher than the average of the first 3 quarters. It was a very, very strong quarter at 11% growth. So we're bumping against that a little bit in the second half. So that's -- there's an element of the comp that is there that I think we want to recognize and that we had taken into account when we have given our guidance. There are other elements -- another element to think about is that the -- our New Ross facility that I had mentioned earlier. We started increasing our demand from that facility in the middle of last year just because that's when the capacity came online. So now we're butting against the anniversary of that as we go into 3Q. So there's an element of comps that are a little bit different. But coming back to the year, our guidance, midpoint of guidance has not changed. We just narrowed the range just given the good visibility that we have for the year.
Matthew Oliver O'Brien: Got it. And then just a product-related question. You mentioned PFA and being associated with that category on multiple levels. There was a pretty favorable reimbursement update within the hypertension space with the renal denervation recently. Is that a category where you have exposure and could potentially be another driver as we head into '26 and '27?
Payman Khales: Yes. Great question. RDN, look, it's a great technology. A lot of people have been working on it for a number of years. We think we believe it's got the potential to be a very good, viable technology that would help patients. And we believe the technology is closer to commercialization. You talked about some of the reimbursement NCDs and whatnot. Yes, so it's -- as a whole, it's a very small market today, obviously, because it's an emerging market. So -- and the capabilities that we have in EP are very transportable to RDN. And we have exposure to it. That exposure is small today just because the market is very small. But we believe that as the market grows in the coming years, as you talked about, that can give us some tailwind as well.
Operator: Your next question comes from the line of Andrew Cooper with Raymond James.
Andrew Harris Cooper: Maybe just first, a little bit different of a tariff question. Just want to kind of hear the latest, understand the minimal direct impact. But has there been any change in your conversations with your customers given they likely are facing a little bit more of that headwind on trying to pass it through as you're talking about extending contracts or extending partnerships? Has there been any change from their tone that you would kind of link to tariffs?
Payman Khales: Andrew, thanks for the question. So I think, first, let me just talk about the fact that as we have mentioned before, the exposure that we have to tariffs is minimal, as you pointed out. Now you talked about whether our customers are talking to us about that. No, no, we are -- as our customers, we are trying to minimize the impact of tariffs while staying fully compliant, of course, with all the rules. I think a lot of the engagement that we have with our customers is around that. We've talked about some of the logistical changes. As an example, if a product is built in Mexico, where in the past, it entered the U.S. only to leave the U.S. to go to some international location where we can direct ship those and whatnot. So there has been a lot of that type of discussion in terms of logistics. I would also remind us that about 70% of the business that we have is under contract. So we have a very defined, if you will, terms as it relates to that. But we continue to work very collaboratively with our customers to make sure that we can minimize their impact to the extent possible.
Andrew Harris Cooper: Okay. That's helpful. And then maybe just one more on PFA, a little bit different of an angle here. I know kind of why you can't and won't give too much specific on too specific of a customer, but can you help frame if we look across that PFA landscape that we think is likely to get or be getting a little bit more competitive, how much variability is there in the amount of content you have on one player's catheter versus another? Or kind of another wording, how many dollars might you see on your most penetrated catheter relative to maybe another player where you have less content and less part of that bill of materials?
Payman Khales: All right, Andrew, thank you for starting your question with I know that you can't divulge that, you know, specifics because I can't.
Andrew Harris Cooper: You don't have to give out names.
Payman Khales: Our customers would not be thrilled with me if I started just mentioning what we do for them. But let me do this. Let me talk about in a broader sense, in broader terms. Look, because of our presence and capabilities that we've had for many, many years in the EP space and because of the investments that we've made and the focus that we've had to build even more capabilities in the past 7, 8 years, we have a lot of presence in EP with the leading players in the market. So we have exposure to PFA in a broad sense. But again, I keep bringing us back to it is just what is really driving the growth, obviously, and the excitement is the technology itself because it's safer, it's better for the patient. But there are a lot of other products that we manufacture that are really driven by that momentum. So those are some of the products that we have had. Again, guidewires, access, sheathes that I've talked about. That is just part of the breadth of the portfolio that we have. So that growth is really across the procedure. But specific to PFA, look, we have good exposure to this technology with the leading players, whether it's a complex component or subassemblies or in some cases, finished devices.
Operator: Your final question comes from the line of Suraj Kalia with Oppenheimer & Company.
Suraj Kalia: Payman, one question for you, one for Diron. Payman, let me come at this revenue pull-through from a different angle. Like 70% of your contracts are long term, right? So what percent of contracts are coming up for renewal? And how flexible -- let me rephrase. Is the flexibility in these contracts for end customer deliverables changing as your customers try to manage top line margins in the current environment? I know a long question, hopefully, it made sense.
Payman Khales: Yes, no problem. And I think it's a good question, Suraj. Thanks for asking it. So let me kind of break it into two because one element of it is the contracts themselves and the nature of them. So these contracts are multiyear, and they don't all start and end at the same time, obviously, right? So there's always an overlap and we have some contracts that we signed last year that are good for 3 to 5 years and some contracts that are coming to expiration. But on average, it's been kind of that rolling 70% that's under contract. These contracts obviously define terms, commercial terms and whatnot to kind of help both -- protect both companies but also kind of define the rules of engagement, if you will. So that's -- that a lot of things are covered in that. We obviously want to make sure that we protect ourselves, right, in terms of the terms of the contract as it relates to some commercial terms, price and whatnot. But there are elements, I think what you're alluding to is the operational element of it. Yes, of course, there are some elements that defines what forecast on inventory and whatnot you do, and those obviously vary. But generally speaking, I think what's implied in your question is also maybe a little bit of a variability in the forecast. These contracts, nor most contracts that exist anywhere in any industry really don't define a very specific multiyear forecast on take-or-pay. Our customers obviously do not have certainty in the demand of the products, nor would they want to put themselves in a position that they have to very clearly define what those products would be. Now what we do, just to make sure that we're running our operations efficiently, we have requirements from our customers and our customers usually give it to us anyway just to make sure that we are prepared. Visibility, I would say, within 12 months. They give us a 12-month forecast in advance. As you kind of think about months 6 to 12, that forecast can have a little bit more variability to it, that's just by nature. And as you get closer, it's a little bit tighter. That 1- to 3-month forecast, I would say, is the tightest because that's where manufacturing plans are in place and where production plans are in place. So there's little variability there. And by little, I mean, usually, there's not a drastic change. I mean, there's that few million dollar give or take that I talked about. But generally speaking, we have good visibility to our demand. And the $700 million backlog that we keep talking about is I think about it as order books, as an order book. That -- those are the orders that we have on our books that specifically say what customer, what SKU, what month of shipment, and that gives us that good visibility a few quarters ahead.
Suraj Kalia: Fair enough. And Diron, to that -- to the $700 million backlog, right. I'm not sure -- maybe I missed it. How should we think about the backlog over the -- over what duration is this numerator being considered? And also, Diron, are these contractual price volume- based calculation, the $700 million? Or have you also factored in -- FX is all over the map nowadays. So given your depth and breadth of customers, maybe if you could just tie that together and help us understand the trend in backlog and how sacrosanct is the $700 million number?
Diron Smith: Yes, thank you, Suraj. Yes. So the $700 million, similar to kind of how Payman was sharing, you need to think about that $700 million as firm orders from our customers where there are specific SKUs, specific quantities, specific deliverable -- delivery requests and promises. And so that's really the order book that we have at this time. At the end of the year, it was about $730 million. We're in that same neighborhood today. But there is variability in terms of what time period that is for. So the vast majority of that $700 million is going to be related to the next 2 quarters. There are some orders in there that may be 3 or 4 quarters out. We even have some orders that will trickle into 5 quarters out, et cetera, just based on the needs. So as we've shared before, when it comes to things like new product launches, we ask for more firm orders a little bit longer out so that we can best plan the manufacturing ramp to make sure we're aligned with our customer demand. Whereas for other kind of normal flow products, we might only have a couple of quarters worth of orders on hand. So that's how you can think about, I guess, call it, the age of the orders or kind of how far out to look from a horizon standpoint. As far as the orders, again, with 70% of the business under contract, the vast majority of that is under some sort of pricing agreement. So when there are pricing tiers, we reflect those orders at the appropriate pricing tier. But I will assure you that it does incorporate FX. But it's also important to note that almost all of our sales are U.S. dollar-based sales. We have very, very few sales that are denominated in a currency other than U.S. dollars. So there is not much FX fluctuation that we see in our sales performance nor on the order book specifically.
Operator: I will now turn the call back over to Sanjiv for closing remarks.
Sanjiv Arora: Thank you, everyone, for joining today's call. You can access the replay of this call as well as the presentation on our investor website at integer.net. Thank you for your interest in Integer. This concludes today's call.
Operator: Thank you again for joining us today. This does conclude today's conference call. You may now disconnect.